Operator: Thank you for standing by. Welcome to LiveOne Q2 Fiscal 2026 Financial Results and Business Update Conference Call. [Operator Instructions] I would now like to turn the conference over to Ryan Carhart, Chief Financial Officer. You may begin.
Ryan Carhart: Thank you. Good morning, and welcome to LiveOne's Business Update and Financial Results Conference Call for the company's fiscal second quarter ended September 30, 2025. Presenting on today's call with me is Rob Ellin, CEO and Chairman of LiveOne. I would like to remind you that some of the statements made on today's call are forward-looking and are based on current expectations, forecasts and assumptions that involve various risks and uncertainties. These statements include, but are not limited to, statements regarding the future performance of the company, including expected future financial results and expected future growth in the business. Actual results may differ materially from those discussed on this call for a variety of reasons. Please refer to the company's filings with the SEC for information about factors which could cause the company's actual results to differ materially from these forward-looking statements including those described in its annual report on Form 10-K for the year ended March 31, 2025, and subsequent SEC filings. You'll find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed today in the company's earnings release, which is posted on its Investor Relations website. The company encourages you to periodically visit its Investor Relations website for important content. The following discussion, including responses to your questions, contains time-sensitive information and reflects management's view as of the date of this call, November 12, 2025. And except as required by law, the company does not undertake any obligation to update or revise this information after the date of this call. I'd like to highlight to investors that this call is being recorded. The company is making it available to investors and the media via webcast. and a replay will be available on its website in the Investor Relations section shortly following the conclusion of the call. Additionally, it is the property of the company and any redistribution, transmission or rebroadcast of this call or the webcast in any form without the company's expressed written consent is strictly prohibited. Now I would like to turn the call over to LiveOne's CEO, Rob Ellin.
Robert Ellin: Thank you, Ryan, and welcome, everybody, and thank you for joining us. This has been a transformative 12 months for the company. As we came out of the loss of over $50 million of revenues with Tesla, we not only survived, but we thrived. As you look at the numbers today, the highlights are going to be is how this team and how this company has utilized technology and being a talent-first platform. to again prove that we can get back to EBITDA positive numbers, right? With that loss of $50 million in revenues, we're excited to tell you that we finished the quarter with $36 million -- a little over $36 million, $36.6 million in our Audio division with $1.1 million of adjusted EBITDA. How did we do that? The first thing we did is we leveraged technology. We embraced AI. We embraced the ability to use AI to be able to cut our staff and cut it from 350 people to 95. We have cut our costs down from $22 million down to $6 million. And with that, we now have aggressively moved on our B2B plan to move to partnerships that the history of this company has been built on like [ Tesla. ] And with that, I'm excited to say we closed our [indiscernible] deal, we have now expanded our partnership with Amazon from $16.5 million in a 3-year deal to over $20 million. That's all based on traffic and audience continue to grow massively. Our Fortune 250 partner increased from 2 million originally to 12 million to now $26 million plus a year run rate. Going back to Tesla, we converted over 60% of the total cars out there, which was 2 million. We now have almost 1.3 million cars of both paid and free. 1 million of those free cars are now being -- those cars have now re-signed back up, of where we finally now have data and information on those consumers and now the ability to try to convert those. And now using an AI marketing strategy, we are aggressively converting those and generating real cash every day and continue to grow that number of subscribers and see a really exciting opportunity now to convert to those million. If we can convert 10% of them, we'll add another 100,000 paid subscribers. If we can convert 20%, the numbers start to skyrocket. We have 72 additional B2B partnerships and fully expect to announce multiple additional ones before year-end. Utilizing AI, we have increased our ARPUs by 60%. We're starting to see a $5-plus ARPU versus the $3 that we had previously. Our podcast business. Our podcast business has grown. We bought the company doing $20 million in revenues, losing $5 million. We've just announced record-breaking revenues over $15 million for the quarter and announced that we expect to do $56 million to $60 million this year and $4.5 million to $6 million of EBITDA. That's a $6 million to $8 million swing from last year. We have aggressively taking our podcasts and now taking our [ True Crime ] podcast, which we have a slate of over 12, and we've now brought that to market to the streaming networks, and we've sold 3 podcasts to television now. What does that mean for the company? It means hundreds of thousands of dollars in option money day 1 and could be millions tens of millions of dollars in the very near future as those get greenlit. We've now sold the show to CVS Peacock to Paramount, and we fully expect to sell additional shows. We have our first giant upcoming live event. Our last major live event goes back to the days of COVID, which was called Social Gloves. That event did over $20 million and over $4 million of EBITDA. On December 11, we are going to launch Reality Olympics. The reality Olympics will be at LFC Stadium the BMO Stadium and we launched with YouTube committing over 1 billion impressions to the event. We just announced our launch of our subsidiary, LiveOne Africa, with a commitment from [ Virtuosity ] Music to raise over $20 million to a market that will be bigger than the U.S. market in the next couple of years. Our buyback continues. We continue to buy back both stocks. We've now bought back over $6 million of stock in LiveOne. We will continue to buy back stock. For everyone that remembers, we sold $10 million of stock at $7.5 only 3 months ago -- 2.5 months ago. We'll continue to buy that as well as you will see management and Board members doing the same. As we look at the future, we see the highlight films of these B2B deals providing a massive opportunity for the company. Current Amazon deal, we see it just continue to grow. It's a highlight film as the more podcasters, the more traffic we drive, the bigger those revenues are going to be. As we launch our next major project to over 30 million monthly paying subscribers, we will talk about this in great detail over the next couple of weeks and expect to launch this year. If you think about the Tesla numbers, we had 2 million subscribers, 2 million cars, right, and we've now converted 60% of them. If you have 30 million, if you just convert a couple of percentage, we're going to start to really generate very serious subscriber growth, ARPU growth as well as revenue growth. With that, I'm proud of my team. They have survived Tesla's loss of the revenues and come out of it stronger than ever. For those of you there, if you remember when COVID hit, we went from $38 million in revenues, we lost all of our live business and somehow the following year, we did well over $100 million in revenues. I see telltale signs that with the current B2B pipeline, the current B2B deals have already been announced, which are over $50 million in contractual deals, actually $52 million contractual deals as they continue to grow. I see telltale signs that this company is well on its way to again be well over $100 million. And with that, we will continue to buy back stock, and I want to thank everybody and appreciate everybody's support and open up the floor to Ryan to talk about the numbers.
Ryan Carhart: September 30, 2025. Consolidated revenue for the 3-month period ended September 30, 2025, was $18.8 million. Our Audio division posted revenue for Q2 fiscal 2026 of $18.2 million and adjusted EBITDA of $0.7 million. Consolidated adjusted EBITDA for the second quarter of fiscal year 2026 was negative $1 million. On a U.S. GAAP basis, LiveOne posted a consolidated net loss of $5.7 million or $0.52 per diluted share in Q2 fiscal 2026. At the operating level, our PodcastOne subsidiary posted record revenue of $15.2 million and adjusted EBITDA of $1.1 million. Our Slacker subsidiary reported Q2 fiscal 2026 revenue of $3.1 million and an adjusted EBITDA loss of $0.4 million. We are pleased to report continued record growth from our PodcastOne subsidiary, which we anticipate will extend throughout the year. In parallel, we are advancing several transformative partnerships from our business development pipeline, creating significant opportunities for long-term growth and value creation in the near future. Rob, I turn it back to you.
Robert Ellin: Yes. Just to wrap it up, I think we've covered just about everything. But just to wrap it up, I can't be more excited about the B2B partnerships. The history of LiveOne as well as the 2 subsidiaries that generate the revenues from Slack to PodcastOne have had a history of B2B deals. And these B2B deals, there's a cycle that comes. And as you're watching the cycle, you're seeing in the industry that is exploding, right? The audio industry, iHeart stock is up 4x. Spotify stock is up 3x, almost $175 billion in value. Warren Buffett has been buying up Sirius Radio. There's so much math right now that shows that the partnerships that are being created that are being announced in podcasting and audio, right, across Netflix announcing they're going to the audio business, right? And Spotify going to the video business. You're going to see more and more of this happening in the industry. And my humble opinion is that you're going to see amazing strategic deals -- you're going to see investments in the space and you're going to see acquisitions in the space. And the acquisitions are happening at multiples of revenues, right? We're trading at 60% of revenues. The industry is trading at 3.5x revenues. And I think you're going to see just about every streaming partner. Anyone who is missing an audio platform is going to need an audio platform. When you think about the cost of content and how expensive it is for all these streaming networks, they can increase their ARPUs dramatically overnight by acquiring a music platform or investing in a music platform or white labeling a music platform. So with that, I'm going to open it up to questions. And again, thank you, everyone, for joining us and thank our team for just doing an amazing job of not only surviving, but coming out of this and thriving. And again, seeing those telltale signs where the revenues are going to start to ramp up dramatically in the very near future. Thank you.
Operator: [Operator Instructions] And your first question comes from Brian Kinstlinger with Alliance Global Partners.
Brian Kinstlinger: Great. Last quarter, you discussed the soft launch at the beginning of August for a B2B partner with 30 million subscribers and said you'd share more information soon. Is there any details you can share about this?
Robert Ellin: I mean the success of the beginning launch was spectacular. I would say it was in line with the launch -- the relaunch with Tesla, right, and succeeding. And again, without giving you exact numbers, in Tesla, as you know, we've succeeded in bringing back 60% of those 2 million cars, right, which is kind of amazing that we didn't necessarily have all those cars and not all of those people are even using the service even if they paid through the connectivity package, right? I think you're seeing telltale signs of that as well with our next partner. And I think you're going to be able to highlight that as we enter year-end.
Brian Kinstlinger: So is this deal part of the $50 million plus B2B revenue? And if so, when does it begin to ramp?
Robert Ellin: No. No. What we said is that's not part of the $52 million. This will be an additional, right? We have not put out guidance yet, but fully expect that somewhere around year-end, we're going to start to put out guidance. As we said, these deals are ramping up. They've ramped up faster than we expected, right, both at Amazon as well as the streaming partner. And we see a telltale sign that, that new partner will be very similar. So we'll be talking about our guidance somewhere probably before year-end, but certainly by year-end, we'll start to talk about it.
Brian Kinstlinger: And I think the biggest question I think investors might have is when you provide this $52 million B2B revenue over the next 12 months, I think you said last quarter, and so I'm sure it's still the next 12 months. How much of that is incremental to the revenue you've just reported in the September quarter, which I assume includes Amazon and some of your other B2B partners?
Robert Ellin: Yes. I mean we can't give that, obviously, until we start to give guidance, right, which will happen again, as I said, before year-end. Our year-end is March 31, and we're getting close to it fast, right? It's moved fast to do that. And we'll start talking about that guidance. You've already seen us raise the guidance at PodcastOne, and I fully expect we'll start to talk about LiveOnes as well. That ramp-up will start to happen, as I said, towards the end of the fourth quarter, right, third a little bit, fourth quarter. So it's starting to ramp up. We're starting to feel the momentum coming, but we'll have a lot more clarity on that as we enter the fourth quarter of this year.
Brian Kinstlinger: Two more questions. First, can you share the freemium versus paid subscribers for Slacker? And maybe if you can or can, can you talk about the conversion that you're seeing for Tesla, if at all?
Robert Ellin: Ryan, do you want to give a little bit of that? If we can...
Ryan Carhart: Yes. I mean, Brian, just real quick, I mean premium versus paid, I mean, you're talking about premium versus plus. Is that kind of what you're thinking? Yes, premium versus plus. I mean I think.
Brian Kinstlinger: You have subscribers that are freemium, especially in Tesla. And then you have paid subscribers. And so I'm curious what the total is maybe the split. And then I'm curious how conversions are going for those freemium.
Ryan Carhart: Yes. So if you think of the combination of all of our paying subscribers, you're looking at a total of somewhere between 250,000, 275,000 in terms of the paid and then the free would be the rest that Rob talked about earlier on this call. So that's basically the breakup between the 2. And then Rob talked a bit about ARPU earlier as well. Brian, does that answer the question?
Brian Kinstlinger: I'm curious how conversions are going. It's been a few months -- we've been hearing about the focus on that. So is it 1%? Is it 2%? Is it more or less?
Ryan Carhart: Yes. We put out, I think it was a week or 2 ago, an earnings release on our new partnership with our AI-driven data partner that's going to help us really ramp up the conversions. So that was launched. It took a little longer than we thought to get that fully to market. So right now, we're out there testing and optimizing the algorithm. So I think you'll start seeing that come through second half of this quarter. And then we don't have full results yet as we're still kind of optimizing right now, but it will ramp up. We're expecting 5%, 10% increase is definitely within the ballpark. It could be higher. We're still in that optimizing phase where the algorithm is doing its work.
Robert Ellin: And we're going to lose some free subscribers in that process as well, right? We'll lose some free and we'll gain some paid. And one of the exciting things that you can be looking at just like last year. Last year, you saw a large increase in cash right around the end of the year, right, as you start to see 1-year subscriptions, a, we, but also the new ones converting. We're very aggressively out there trying to convert those now to continue to strengthen our balance sheet, buy back stock and put cash on our balance sheet.
Brian Kinstlinger: Great. Last question, Ryan, I didn't hear anything. The gross margin for the first half is about 13% last year, almost twice that. Is that a pure function of scale with the falloff of the revenue? Or is there something more to that? And when might we think about beginning to see a recovery?
Ryan Carhart: Yes. I think the difference this year versus last year has been the change in the customer relationship with Tesla, right, where the volume there lifted the margin because we were able to pull that off at slightly higher than what we do normally now. So I think that difference that you're seeing is really just the volume from Slacker changing, driving the overall down. And that's offset by increased margin at PodcastOne. So slightly offset that. But yes, that's the cost.
Operator: And the next question comes from the line of Sean McGowan with ROTH Capital.
Sean McGowan: Following up on Brian's question on cost of sales. So what portion of that increase as a percentage of revenue is stock-based comp? Is that a factor?
Ryan Carhart: Yes. Stock comp is definitely higher in cost of sales than versus year-over-year, if you just do the comparison. So you'll see it's not out yet in the Q, but we'll fully disclose that so you can see it. But it kind of shifted categories. You're going to see more stock comp in the cost of sales line this quarter versus last quarter. a little bit lower just on the lower G&A that you're seeing year-over-year. And then last year, we had a little bit more in G&A. So you're going to see a decrease in stock comp and G&A this quarter year-over-year. I definitely notice a difference there. So less year-over-year, but still a chunk there.
Sean McGowan: Okay. And when will the Q be out, Ryan?
Ryan Carhart: Filing date is Friday, hoping to get it out sooner. So we're hoping to file tomorrow.
Sean McGowan: Okay. So on G&A, I imagine stock-based comp plays a role in that, too. But is this level of G&A likely to be what we should expect to see? Or were there extraordinary factors driving that up?
Ryan Carhart: Yes. Good question. So year-over-year, obviously, we're seeing definitely a lot of strong increases or decreases in the G&A. If you look at this quarter over last quarter, there was a couple of onetime things that flowed through. So we expect it to be lower next quarter than it was this quarter. So what you're seeing this quarter, you'll see an improvement next quarter and in Q4 and going forward. So even less than Q1.
Sean McGowan: Perfect. Ryan, if I can ask you to repeat something, right at the end of your prepared remarks, I think you made some comment about PodcastOne over the next 6 months or something like that. Would you mind repeating that? I just -- I couldn't quite track what you said.
Ryan Carhart: Yes. All I'm saying is we expect continued growth of the PodcastOne subsidiary. That's it. We upped our guidance like Rob talked about. So yes, we just -- we expect it to continue to grow as it has been.
Sean McGowan: Right. Got it. It was the word growth, but I couldn't quite get.
Robert Ellin: I think, Sean, just to add to that, you've seen our 17th additional podcast announced just announced. And we're basically signing almost -- we signed 24 a year. As we said before, you're picking up 2 things. Number one is you're picking up revenues. Most of these are existing podcast so the space has really moved to. You watched Spotify and Amazon basically fire their entire teams. They keep their super big podcast, but they're all waking up to realize they're really distributors. They're not curators of content. And because we're a full 360 play, these podcasters need handholding. So we continue to add those as we add them, it's a self-fulfilling prophecy. One is you're going to add immediate revenues, but two is you're going to add that immediate traffic. And the more traffic we drive, the bigger the Amazon partnership is going to grow, I couldn't be more excited about where that's going and directionally, right, to think that it's only been a couple of months already from $16.5 million going to $20 million, but it looks like it can go way higher than that. And I've talked about landing an anchor tenant on the podcast network. if we land an anchor tenant, right, which has been one of the only things missing from that business. If you land an anchor tenant and you could add some very serious traffic, right? Those metrics just keep going up. And if they keep going up, you're going to pick up a lot of revenues. A lot, a lot of revenues are going to move up the charts in terms of what number you are on contracts and the overall industry and the respect from the industry is showing in a unique way.
Sean McGowan: Okay. If [indiscernible] is here, he's probably like what the **** man? I'm right here. So just kidding.
Robert Ellin: Adam is the best I spoke to them yesterday. It was a great partner, and we just continue to grow with them.
Sean McGowan: Okay. Last question for me. Kick did a great job yesterday of outlining the ways in which PodcastOne has used AI kind of across the platform across the whole enterprise, drive revenue, drive costs, drive efficiency, et cetera. In addition to what Kick talked about yesterday, could you describe some of the AI tools that are being deployed in the rest of the company, just so we have a fuller idea of that?
Robert Ellin: Yes. As you know, Sean, you know me a long time, all of my companies are media companies from a revenue standpoint but are always focused on next-generation technology. And we're right in the heart and the center of it. You're going to see more and more partnerships coming out of us in the AI space. But the team -- Brad and the team are at Slacker, under sees, right? You lose $50 million of revenues, you got to take costs down. They've just done an amazing job of embracing technology, both from a marketing standpoint, right, to convert subscribers to lock down -- to think that we lock down 60% of every Tesla car and got them even though a lot of them are free is just -- it's just an amazing thing, and that was utilizing AI. They've also utilized AI in that we used to need way more hosts, right? You can now create a music channel way quicker and you can combine the use of AI with the human -- with a human, right, as a DJ, DJ host. So we're able to cut those costs down. I think you're going to see a lot more of those initiatives happening as the revenues ramp back up, right, on the other side of the business. As those ramp back up, we'll continue to grow those. And we're looking at consistently looking at more and more ways to do it. And we've been able to cut our staff from 350 people to 95. Ryan has just done a great job of restructuring, fighting through this and really surviving a loss of $50 million of revenues. Most companies can't survive that. We've come out and now we're thriving.
Sean McGowan: Circling back for one second, I just got something else I want to ask. On the number of subscribers that you've converted, it is amazing. I never would have thought you get to that 60%. You kind of feel like you're at that limit now. I mean it was never going to be 100%. It's probably never going to be even 60 and you manage that. But I noticed that the number is about the same as it was at the end of August. So have we converted pretty much everybody we're going to convert?
Robert Ellin: From a free standpoint, yes, right? From a post standpoint, now we just started to put advertising in, right? So we partnered with DAC, the biggest ad agency to do that, doing programmatic advertising. And it does 3 things, Sean. Number one is it noise the hell out of people, right? All of a sudden, all of a sudden, you go from no ads to a ton of ads. right? My son was giving me a hard time because I had in my car because I want to hear actually what's happening in it. I want to make sure those ads are relevant, right, A, so the people that are going to stay for free are actually going to use it, right? That's a. And then b is I want to convert them, right? So we're now using Intuizi, right, which is an amazing AI marketing technology platform, right, that really is able to find in multiple different spaces, but first in the automotive space. Another goal is to convert those people. And just think about if we converted $100,000 of the 1 million, right, at an average ARPU of $60 a year, most of that's going to be paid upfront. We can generate a lot of cash right now, right? And that initiative has just started. We went from 0 advertising it was 3 months ago, Ryan, to today, we're like 90% advertising, 90% fulfillment, which it generates some revenues as well, right? It's a new revenue stream that will start to kick in, in the advertising side of it. But our real goal is -- and Spotify says they convert 60% of every -- the reason they have a free tier is 60% convert. I don't know what the time frame they convert. But if we can convert 10% of this, 20% of it, if somehow we convert 60%, obviously, the numbers are off the charts. But if we can convert 10% to 20%, we're going to generate a ton of cash upfront, and we're going to generate long-term revenues with those subscribers that are going to be beyond the advertising side.
Operator: I am showing no further questions at this time. I would like to turn it back to Robert Ellin for closing remarks.
Robert Ellin: I think we covered everything. I'm looking forward to our next call. I'm looking forward to the next major announcements of this company. As I said, there are 72 B2B deals in the works. This is what I've done in my career, has always been sort of the smaller company that's been able to partner with these massive distributors. There's so many of them now that are out there that as the cycle has changed, right? And you look at the cycle, everyone from Facebook to Microsoft to every streaming partner to auto companies, everybody is fighting for data again. And I think we're right in the sweet spot that LiveOne has the opportunity to be that strategic partner that we're nimble with the lowest price and we're willing to white label. I think you're going to see more and more of those B2B deals. And you see a couple more Amazons, you see a couple more streaming partners. You see a couple more retail partners. You can easily see this company in the next 5 years doing $1 billion of revenues and with 0 cost to marketing, right? We're not chasing an individual subscriber. We're chasing a pool of subscribers. So we're looking at leveraging this great content we have, this original programming we have and really leveraging it and positioning ourselves that we partner with anyone who has 10 million to 3 billion eyeballs like Facebook. And we partner with a lot of them, right? Both before I own this company and since we've owned it, we partner with the likes of everyone from TikTok to Facebook, right, to Amazon, to Paramount, right? We continue to do that, and we continue to grow with it. I see telltale signs that we're starting to build real momentum on those B2B deals. We land a couple more of these, and we're going to have another exciting run in like I said, I'm proud of our team. I'm proud we fought through this battle, and I see the future is extraordinarily bright right now for where the company is going. With that, thank you, everyone. I appreciate your time.
Operator: Thank you. And this now concludes today's conference call. Thank you all for attending. You may now disconnect.